Henry Engelhardt: Good morning, everybody, and welcome to Admiral Group’s 2015 H1 Results Announcement. I’m Henry Engelhardt, still Chief Executive, and I’ll be joined today by Geraint Jones, our CFO; Cristina Nestares, who runs our Spanish insurance business and will soon be relocating to the UK to take on senior responsibilities within the UK insurance business; Pascal Gonzalvez, who is the CEO of our insurance operation in France, L’olivier; Alistair Hargreaves, who runs non-claims operations in the UK; and last, but certainly not least, David Stevens, CEO in waiting. Geraint and I will give you an overview of the results and go into some detail on activity in the U.S. and Italy, followed by Cristina and Pascal, who will shed light on our operations in Spain and France. Alistair and David will then speak about the UK and, after all that, we’ll be happy to take your questions. It was a pretty good start to 2015 for Admiral Group. If it’s a game of two halves, then we’re glad to go into the locker room in front, the highlights were back-year claims trends in the UK and Italy, the growth of our price comparison business is in Spain and France and the progress of compare.com in the U.S. As you can see, all the key indicators are up except return on equity which is still very robust, just slightly less robust than a year ago. In particular, I’d like to direct your attention to the dividend numbers. On last night’s closing price, this represents a yield of around 3.5%. That’s not an annualized number; that’s actually the half year yield. Group turnover is on the rise. It’s worth pointing out that the non-UK turnover figures are heavily influenced by changes in currency rates, our dollar turnover is flattered by the change in exchange rates, while the euro turnover is depressed. We’ll try and show you all the figures, both sterling and local currency, so you can get an accurate picture of what’s really going on. Price comparison turnover: Price comparison turnover is down and this is solely due to Confused as our other three PC sites increased their turnover, but as I said these figures are also influenced by exchange rates. Other turnover is largely Gladiator commercial and our household business in the UK and the big growth numbers more due to the latter than the former. Customer numbers do not carry the same currency complications. And as you can see, there is a green shoot of growth in the UK and decent growth elsewhere throughout the organization. We are seeing some rate increases in UK car insurance market, which will give us the opportunity to leverage our combined ratio advantage and while raising our rates as well, do so slightly less than the market and in turn grow the business. Alistair and David will talk more about this in just a few minutes. We’re also seeing steady growth outside the UK with L’olivier, Elephant and ConTe all in growth mode. And, in line with turnover, the growth in the UK household book was substantial. The household result also continues to go well, aided by the lack of severe weather in the UK. Now, over to Geraint to give you some more detail on the group results.
Geraint Jones: Thanks Henry. Good morning, everyone. I’m going to cover the Group results, Solvency II and capital and our interim 2015 dividend and then do a really quick overview of the UK car insurance results. First up, Group profit, as you saw in Henry’s slide earlier, the pre-tax profit for the first half was slightly higher than the H1 last year at a £186 million. That is a record H1 result and is very close to our biggest ever six months results. So what happened? Well, as you can see there were quite a few movements which have essentially almost entirely offset each other. UK car insurance business result was very strong, nearly £220 million that’s 6% up on last year. As we’ll see later that result was helped by a very large reserve release. In international insurance, it was very positive to see the loss reducing in total and very pleasing to report another small profit at ConTe which I’ll talk a bit more about. The price comparison result is heavily impacted by increased investment in compare.com in the U.S. that accounts to £10 million in loss in this year’s figure, more on that later. And finally, the catchily titled other, which is mainly made up of our share scheme costs. The difference you see there to last half year’s mainly the debt interest cost, which obviously was there at H1 2014. Next up, on earnings per share just briefly. As you can see nearly 55 pence per share in the first half of the year, that’s 4% up on 2014 and is a record half year EPS figure. On the right hand side, you see the full annual history since floatation. And hopefully you’ll agree it’s quite a nice long-term track record. Moving on to Solvency II and in particular capital requirements. Let me firstly deal with the 2015 situation, which will hopefully be familiar to you. Our Group capital requirement this year, as agreed by the PRA under the ICAS rules and after accounting for our half year dividend, we show a similarly large level of surplus against that requirement compared to six months ago, that’s in excessive £300 million. Why such a large surplus? Well, as you might expect and as we’ve said before; that’s about us wanting to remain prudently capitalized until the situation from January 2016 is resolved. The top of the slide there also shows a couple of the KPIs at the half year point. On to the more interesting bit, 2016. In common with most or probably all UK insurers, we’re not yet in a position to communicate the exact level of 2016 capital requirement. As you know, it’ll be based on the standard formula that starts rather than an approved internal model. And a capital add-on is very likely to be applied to reflect limitations in our standard model when applied to Admiral. As I think we said before, the main issue there relates to profit commission arrangements in the current reinsurance contracts which aren’t properly dealt within the standard formula. Constructive discussion are ongoing and the PRA will take a view on the add-on that we think is appropriate, shortly. We expect the process of formalizing this to conclude in the last quarter of this year and we’ll communicate when we get the confirmation, plus we’ll give much more detail in our 2015 results presentation in March 2016. Bear in mind what I’ve just said. At this point, I’m not going to talk about what the outcome of that process might be; what Solvency ratios we expect to see; whether this is a surplus and so on. But I promise we’ll speak a lot more about capital in March 2016. Moving on, let’s take a closer look at the interim dividend. We’re paying 51 pence per share which is 3% higher than 2014’s interim dividend and that’s a record half year dividend. 51 pence equates to a 93% payout ratio. We calculated this dividend on the basis of maintain a stable payout ratio and a consistent surplus against the ICAS requirements, whilst the uncertainty I referred to on the previous slide remains in effect. In the chart, you see an enviable track record of dividends since flotation. If add up all those dividends applied into all those shares we’ve paid out approaching £2 billion over the past 10 years or so, that’s nearly three times the value of the company where we floated in 2004. If you overlay earnings per share, you’ve got a good perspective on how much of our earnings we’re able to pay out in dividends. So, let’s do that. As you can see, consistently high payout ratios over time. Divide total dividends per share by total earnings per share over that period and you get a cumulative pay ratio of 93% of earnings. If you don’t have any shares, you need to get some by the 10th September to get the payments, which is on 9th of October. Next up, I’m going to do really quick run through the UK result before David and Alistair go into more detail in a short while. The first chart on the stop shows the UK car insurance pre-tax results for the last three half years, steady increases each time reaching £219 million in the first half of this year. The higher result was mainly due to significantly higher reserve releases which were made possible by substantial improvements in the projected ultimate loss ratios across a number of our underwriting years. Reserve releases on Admiral share of the business equals to 29% of net earned premiums that’s up from 19% last half year. It’s important to note though that despite that very large reserve release, the margin held in our booked reserves above the actuarial best estimate, increased slightly at 30 June compared to six months earlier. In terms of customers’ turnover premiums written on the bottom half of the slide, I think especially exciting to report, we saw small but pleasing increase in the number of vehicles insured. And despite continued rate increases in the first half of the year, total premiums remained pretty flat as the portfolio moved again to be more weighted towards newer business plus there were some other shifts towards lower premium business. As I said, David and Alistair will be up here in about 15 minutes’ time, so I won’t dwell anymore on the UK. In the meantime, back to Henry.
Henry Engelhardt: Thanks Geraint. Overall, it’s been a good six months for our price comparison businesses. Within that however, Confused continues to struggle in the light of competition. The Brian toy campaign is going well and we’ve seen a small uplift in share and a decent uplift in awareness. However, the toys do cost money and this has hit the bottom line. Rastreator and LeLynx continue to lead the Spanish and French markets respectively. And I’ll leave it to Cristina and Pascal to talk more about these market leading operations in a minute. We’re very pleased with the progress of compare.com. The main area of success in these last few months has been signing insurers to join the panel. We now have well over 50 insurers signed up. We have over 30 insurers actually on the panel and are in the process of on-boarding the remaining 20 plus insurers. These 20 plus companies are all signed to contract. And as soon as we can complete the IT connection, they will be active members on the panel. We now have four more insurers quoting in more than 25 states, representing more than 70% of the U.S. population. While we are busy on-boarding insurers, which will be major feature of 2015, we have pulled back a bit on our marketing budget. We’re spending a lot more than we spent in 2014 but not as much as we envisaged. We’ve done this to keep some of our powder dry until we are confident that we’ll be able to provide virtually every consumer with a good experience, which in large part, means providing several prices at the end of the process. As we are growing the number of partners and also the states in which the existing partners currently quote, we anticipate a bigger advertising spend towards year’s end and into next year. We have previously given guidance that we thought compare.com would cost the Group somewhere between £20 million and £30 million this year. And it appears that due to spending less than on the advertising than anticipated, we will not be at the upper end of that range. This slide gives some detail on the non-UK insurance businesses. As we said before, this is the year we hope Admiral Seguros in Spain breaks even. With that being the goal, growth is not important. In fact, as Cristina will explain, growth is expensive and so actually counterproductive to breakeven. So far, we are on pace to break even but it won’t be easy, in particular because there are changes coming to the Spanish bodily injury protocol baremo. And they will increase claims costs attached to the 2015 business. And in all the countries, we are growing at a nice pace. Let’s take a closer look at our U.S. and Italian operations. I’ll do the U.S.; Geraint will do Italy. Six months ago, we explained you very simply that the U.S was a huge market and that we have fledgling European style price comparison site as well as an insurer currently trading in four states. Six months on, nothing has changed from that description. Elephant is doing well but life would be better if we had more price comparison business. Elephant is growing but its costs are still high and bad weather particularly in Texas has meant stubbornly high loss ratios. In short, things in the U.S. are progressing, but we expect the faster pace in the second half of the year and into next year. Geraint?
Geraint Jones: Thanks Henry. Just a couple of quick slides on ConTe from me to finish off. First thing to say is that as in 2014, it’s very pleasant to report another small profit at ConTe, following on from the very similar results in 2014 as a whole. What’s been happening with the top-line customer numbers? As you can see on the left hand side of the slide here, after seeing turnover reduce in H2 last year and basically flat vehicles insured, ConTe started to grow again in 2015, increasing customer numbers by 5% in six months and the turnover rising slightly versus H1 last year. ConTe broke through the 300,000 customer market couple of weeks back and the business makes up just under 50% to the Group’s combined international insurance customer base. Italian market has enjoyed some pretty positive results recently especially in 2014. And those results have fueled some pretty strong competition in the market with material rate cuts over the past year or two. ConTe has responded with the rate cuts on its own, particularly at new business and has managed to keep the projected ultimate combined ratio for the 2014 year, in line with the 2013 year. At some point reasonably soon, we would expect that rate cutting will move the markets to uneconomic levels; we should lead to stabilizing and then rising rates in the market which we look forward to. Now, it is accurate to say that ConTe’s profits in 2014 and the first half of this year result from back year reserve releases. However, it’s also worth noting, ConTe’s results on an underwriting year basis, which is what we see on this slide. The chart shows the business combined ratio taking everything into account. That’s the motor underwriting and the other revenue on an independently projected ultimate basis and it’s by combined -- by underwriting it. There are three lines on the chart that show the projected results at different time periods. So, the solid line is the most recent projection and the dotted line shows earlier points in time. For example at the end of 2013, projected final outcome for the 2013 underwriting year was 109% and that since improved to 103%. And you will note that in general, the projected outcomes tend to improve over time. But of course, it’s not always guaranteed to be the case. It’s really pleasing to see that ConTe was actually profitable in 2012 in only its fourth full year of operations. Milena is at the back of the room and she will tell you all about it on the way out. 2013 and 2014 are currently projected at 103%; it’s not too far above the 100%. And it’s accounting results ConTe follows the same philosophy as the UK business and booked initial reserves while above the actuarial best estimates. The margin is slightly bigger than it was six months ago despite the release from the first half of the year. And on encouraging note from ConTe, that’s your lot from Henry and I. Henry’s back up at the end to wrap up but now we have Cristina and Pascal to talk about Spain and France.
Cristina Nestares: Good morning everybody. I’ve been working for Admiral for 10 years now. I launched the first international operation back in 2006. And after five years leading it, I was promoted to European Manager. And now in less than two weeks, I will be moving to Cardiff for its wonderful weather but also to start work in the UK business as Head of Motor. So, let’s take a look at the Spanish market. 2015 is clearly a transition year. We have been seeing premium decrease for more than seven years and finally in the first half of this year, it has started growing again. There are clear signs of economic recovery. Fuel consumption which is very correlated to frequency is going up by 2% after many years of decreases and also car sales are growing by 20%. The market was profitable last year with the combined ratio of 97%. Well, actually this market has been profitable for more than 10 years. But next year, there is going to be a significant change in the baremo, which is a rating system that we use to assess BI claims. And they are two major changes that are going to happen. The first one is in general, a higher payout for large BI claims and secondly, there will be a more generous compensation for future loss of earnings because normally until now, we didn’t take this so much into account. So for the future, we expect increases in frequency and a significant increase in BI cost. And we think this is going to make prices go up after seeing 10 years of no price increases in the market. And this is actually good news for both Rastreator and Admiral Seguros because price increases should stimulate shopping in a market where attention is very high and switching low. Let’s take a look at Rastreator. Rastreator is the market leader and actually its advantage towards its competitor has increased during this first half of the year. While Rastreator has continued growing while its competitors have shrunk. We have increased our media spend, resulting in more quotes, in more revenues and in an increasing brand awareness. Today, more than 90% of the Spanish will recognize Rastreator. During this time, we have also continued improving our multi-product offering. And nowadays, more than 20% of Rastreator revenues come from products which are different to motor insurance that includes other insurance products, travel utilities and finance. Rastreator has acquired a URL, Seguros.es, which means insurance in the Spanish because our strategy is to have two price comparison website in the Spanish market. This allows us to be much more efficient with our media spend. So for the future, we will continue making our multi-product offering bigger and better for the customer and we will continue spending on Seguros and Rastreator. Actually we have already started putting some money behind Seguros.es as a TV campaign has started a couple of weeks ago. Let’s take a look at Admiral Seguros, but before I talk about the results, let me clarify terms because this might become a bit confusing. Seguros.es, that’s a new price comparison website that we have acquired. Admiral Seguros is insurance operations that we launched back in 2006. Admiral Seguros has a very clear target for this year to break even on return basis. And so far things are looking good. Expenses under control, claims numbers favorable, however this is a business subject to claims. Therefore, there is a lot of uncertainty. And also the changes in baremo are going to put a lot of pressure on the loss ratio. Now during the first half of this year, we have continued growing, fueled by the growth of Qualitas Auto, our second brand. And for the future, we also expect to take advantage of the market growth that we expect to see in the market by lagging competitors in price increases. Now it is important to mention that the fact that we might probably break even this year, doesn’t mean that we’re going to be profitable every year after because we will grow when market conditions are good. So, in 2016, it brings a significant growth in the market, we will take advantage to increase our book, to increase our investments and therefore we report a loss. So, all in all, I’ll say it has been a very good half of the year for the Spanish operations. We have Rastreator being a more stronger market leader. We have launched a second price comparison website, Seguros.es and our insurance operation is on track to breakeven and for the future more growth to come. I’ll now leave you with Pascal to talk about the French operations.
Pascal Gonzalvez: Thank you, Cristina. Good morning everybody. My name is Pascal Gonzalvez, I’m very happy to be here to talk about France, as we believe the French market is facing the point of inflection and is moving in the right direction. The most exciting news is the change of regulation that was incrementing earlier this year. This law is going to help customer switching and will make the motor insurance market much more fluid. In the past, it was very complicated for customers to consult their insurance policy at renewal. Now they can consult any time and much more easily as this is the new insurers, who is dealing with the switching process. So, this is a fantastic new opportunity, both for price comparison websites and for motor direct insurers. The first few months on the implementation have shown some true positive signs. And this is very encouraging because the law is going to be implemented over 12 months, progressively at each anniversary renewal dates. And the thing is because the awareness and the understanding of the law are still limited, so we’re expecting a progressive growing power of this new regulation with an impact on market persistency. One of the consequences of this change in the markets, is the growth of price comparison websites. In the first half of the year, we’ve seen the motor insurance quotes increasing by 17% compared to last year and this trend should be even accelerated in the future as we’re expecting stronger TV investments coming from the aggregators. Not only we’re expecting an increase in volume quotes but it should also improve the new business conversions for direct insurers over time. So, on one hand, there would be more fluidity in the markets, with an impact on persistency; on the other hand, there’s some profitability problem in France with the profitability of the motor insurance suffering. Despite price increases in the past two years, we’ve seen the combined ratio worsening and is expected to be around 107%-110% this year and is one of the worst in the last 15 years. So, we believe the underwriting cycle has got too hardened and the combination of all of this is a very good opportunity, both for LeLynx and L’olivier. So, in this good context, LeLynx has decided to have a more aggressive strategy in 2015. We’re doubling TV investments and at the same time, we’ve been doing lots of PR to explain the advantages of the new law to customers. And this strategy has paid off. LeLynx managed to increase significantly its quote volumes and became the clear leader in the markets with the highest level of quotes and at the same time, LeLynx remains a profitable business. So, this strategy is going to continue in the next months with two main priorities, more education about the new law to the customers and more investment in branding. So, timing of all those changes in the market is pretty good for L’olivier. When we launched L’olivier a bit more than four years ago, we used different business model. It was decided to outsource most of our operations in order to test and learn the French markets. After two years, the experience was very positive with good technical results and a pure competitive advantage in pricing. So, we decided to in-source our operation to make a true difference in this market. 2014, was dedicated to the in-sourcing of the business and we deliberated decided not to grow in order to focus on this big project. 2015 is now the year when we want to start and grow. So, the first half of the year has been pretty positive with strong volumes and good claims experience. And for the next months, growth remains our priority. To do so, we want to build strong brand awareness; and TV investments are actually starting next month. Our clear ambition is to become a well-known quality direct insurer in the next couple of years. So, with the full control for operation, the cutting-edge IT system and the strong management team, we believe we now have some strong foundation to take the most of this market opportunity. So to summarize, we believe that the dynamic of the French market is very positive. With regulation, price comparison websites are growing; LeLynx educating the market and making profits; and L’olivier is now ready to capture those opportunities much more efficiently. That’s the end of the French section. And now we’d focus on the UK with David and Alistair.
David Stevens: Thank you, Pascal. Now, this is the exhibit that Geraint showed you 15 slides or so ago and admirably concise summary of the UK market outcome, our own outcome. What Alistair and I’m going to do is put a bit of color to that, the detail. I’m going to talk about prices, our own in the markets and talk about claims; and Alistair is going to talk about some of the other key economic drivers. So, let’s start with prices. This is an exhibit based on the ABI premium tracker, the most accurate source of price information including new business and renewal. And the red line is the year on year increase and the blue line is the cumulative decrease since the beginning of 2012. And what you see here is the market bottomed in quarter three last year, minus 14% from the beginning of ‘12 and then started to put in some relatively modest increases, so that by the end of the first half it was up 2.9%. Not of itself very exciting because 2.9% isn’t even enough to compensate the growth in underlying frequency let alone severity pressures. So, we’re seeing a situation where the market is bumping along the bottom but not really addressing the profitability strains. Now Admiral itself started increasing prices a bit earlier, quarter two last year and we’re up aroun10% since then. Now those of you who are mathematically astute will notice from the previous exhibit that our volumes are flat and our premiums are flat and yet I’m talking about 10% premium increase and that’s hard to square. It’s squared by the fact that there has been a mix change, as Geraint mentioned, more renewal, bit less new business. Within both new business and renewal, some portfolio shifts towards lower premium risks, driven partly by our own changes and partly by competitor’s changes. And another slight element is the fact that telematics are becoming a more important part of the very high premium segment. They represent 3.5%, 4% of the overall market new business which is not that huge. But of the teen market, we’ve now going to a situation where they were a very minority taste to where they are a substantial minority of sales to that market. And the people that buy telematics from ourselves and our competitors, enjoy substantial discount, which does have some impact on average premiums. Now going back to the market as a whole, I’ve left in the cumulative results in this exhibit just to talk about the long-term pressures. So, here we are at the middle of 2015, 11% down on where we were three and half years ago. Over that period, frequency is probably up 6% or 7%. We’ve seen small bodily injury frequency come down but then come right back up to where it was before. And we’ve seen over that three and half years the continual grind of large bodily inflation exceeding RPI. So, obviously that combination of substantial falls in prices and claims pressures means industry margins have taken a bit of a hit over the last three years versus where they were. How does it show in profitability? Well, it doesn’t. If you look at the net combine ratio, obviously 2013 and 2014 two of the most profitable years in the last 30 with breakeven on underwriting basis and decent returns driven by ancillaries and investment income. But of course, this is all driven by record reserve releases we’ve seen in 2014 private motor markets, a release of almost 13.5%; the previous record in 2007 was 11.5%. And those releases are obviously camouflaging significant deterioration in underlying margins. Will that still be the case in 2015? Will the industry be able to report a decent result? I think what we’ve seen in the first half numbers reported so far by and large is some deterioration in net combines and there is other evidence of pressures in the market. We’ve seen some small scale exits, Service Liberty, RSA, Private Broker, which of themselves are immaterial in terms of the amount capacity but that’s certainly symptomatic and precious. So, what is the prognosis in our view for pricing going forward? Well, we are believers in history as a guide to the future. And if you look at 2007 and the previous peak in reserve releases, what you saw is a period of 18 months during 2008 in the first half of 2009 when premiums went up but not sufficiently materially to compensate for what was quite a high level of claim inflation in that period. And actually premium increase is sufficient to turn margins around and bring the profitably around didn’t really start until middle of 2009. So, I think that’s nothing implausible prognosis for our own situation now where we will probably see premium increases in the second half of this year and in the first half of next year at to or about claim increase costs. But we won’t probably see a breakthrough into seriously improved underlying profitability until a bit later into 2016. Now, more interesting way to look at profitability in the market and for ourselves is to look at accident year claims ratios. And this is the way we tend to show that. The red line is the market reported claims ratio by accident year at December 2014; within the brackets the reserve release during the course of the 12 months of 2014. Our own blue line, not directly comparable. First of all, it’s June ‘15 data; it’s not reported, its projected ultimate. The movements aren’t the movements over the 12 months, they’re the movements over the six months from January ‘15 to June ‘15. But what you do see is some very substantial improvements in our projected ultimates, particularly in 2013 and 2014. 2013 a joy to see it coming down 4 and making 2013 look like it’s going to evolve into a particularly profitable year for us. 2014, I would say a relief coming down 5 points from 82%, which one we were talking about six months ago when we talked about disappointing pattern of large bodily injury claims. What’s driven those improvements? Well during the six months, first six months 2015, essentially we’ve seen better development on those big bodily injury claims in 2013 and 2014 in particular. We’ve seen those develop more positively than have been in the actuarial projections at the end of last year. What’s happened in the first half of ‘15 on ‘15 itself, we never show, we no longer show projected ultimates the half year; it’s too volatile number now. So, I would just restrict my comments to say, we’ve seen frequency probably less markedly increasing than the market experienced and that’s true of underlying frequency in bodily injury and we’ve had a relatively benign big bodily injury experience in the first half of ‘15 but that’s exactly what you would given our change in mix. So, we are not claiming billions here; it’s a reflection of the change in book of business. Let’s just dwell a bit longer on the reserve releases which are obviously one of the most striking features of this half year’s results. This is a history of reserve releases since our floatation averaging around the mid teens, a constant feature of our profits. The two main drivers of the volatility that’s evident there, we’ve got a relatively stable elements of reserve release which is the fact that the back years mature towards projected ultimates, the booked had down over time towards projected ultimates and that creates a relatively predictable volume of releases. And the unpredictable elements is changes in projected ultimate. So, if the projected ultimate loss ratio, say deteriorates, that’s likely to lead to relatively disappointing outcome on reserve releases, we saw for example in 2011. If they improve substantially, then you get a much better than average outcome on reserve releases. And so, the prospects for reserve releases in the second half is that we would expect reserve releases to be material part of our profits in the second half; they will not be as material as they were in the first half unless there are further large reductions in projected ultimates. What I would say is though the underlying profitability, the current year profitability of the business in the second half is likely to be somewhat better than the first half, given the price increases that we implemented over the last 12 months. Now, one of the important considerations is how we get done these reserve releases at the expense of our overall level of conservatism; how we reduced our margin over our ultimate? And in this instance, we’ve actually had a [Indiscernible] as Geraint mentioned, we’ve slightly increased our margin. Now slightly can be a mealymouthed word that really means a rounding error in immaterial number. In this case, it is a material number. We debated the right adverb should be slightly increase of somewhat increased. We thought it was slightly less than somewhat to somewhat more than slightly. So, we’ve rounded it down to slightly. And it’s nice to be able to report a substantial release while also adding to that level of conservatism. So that’s a situation on the claims and pricing front. I’ll hand it over to Alistair to talk about some of the other key drivers.
Alistair Hargreaves: Good morning. My name is Alistair Hargreaves, I’ve been with Admiral for seven years. Some of you may remember me from my time as Investor Relations Manager. Since then, I’ve worked in a number of different areas of the UK Group, first in marketing, looking after add-on products, then as Head of Renewals and now as Head of Operations. My first slide looks at other revenue per vehicle. The bar chart shows that our other revenue per vehicle has fallen from £67 in 2014 to £64 in the first half of 2015. This is due to a change in vehicle commission, the upfront per vehicle commission and from Admiral’s to reinsurance and co-insurance partners. The new business policies written from January 2015, we no longer earn vehicle commission. This change causes the reduction in other revenue but also an offsetting increase in future profit commissions. The chart shows the vehicle commission for new business policies as the red component. This would decrease to zero at the full year. It also illustrates that if we exclude the change to vehicle commission, our other revenue per vehicle has been stable at £61. This is the level we are expecting to report for total other revenue per vehicle for the full year and we expect it to be maintained at around this level for 2016. While those remain constant overall, I want to mention some changes to another component of other revenue, our add-on products. Strengthening our add-on benefits has reduced the profit margins of these products. Our objective is to provide useful, easy to understand products, and we regularly review and amend our products to improve the benefits for customers. These improvements combined with other changes such as improvements to our online journey and the introduction of motor legal protection as an optional add-on, had resulted in an increase in overall add-on sales, offsetting the reduction in profit margins. So, the next slide shows our expense ratio versus that of the market, we got two lines for the market, the red one is the one we've used historically. It excludes UKI because the figure has been volatile. But after few years of more stability in the total market figure we thought it was worth showing this too and that's the green dotted line. Overall, we can see that our expense ratio continues to compare well to the market and we feel well placed to maintain this in 2015. Being low cost is important to our continued success so I thought of going into a bit more detail on some of the drivers. So, let's look at our how our expense ratio versus competitors break down, on average our book contains more higher-risk, higher-premium customers than the market as a whole. So, as expense ratio equals cost over the premium, just based on the math's our higher average premium equates to an eight percentage points advantage on expense ratio. Now, the green block is the interesting one. Higher-risk, higher-premium customers are typically more expensive to service, for example, they have a higher claims frequency and are more likely to cancel. So, you might expect the mathematical advantage of having a higher average premium book to be eroded by these factors, this is not the case, we are able to service our book of customers more cost effectively than the market average and this contributes half of the advantage. It's due to our cost conscious quota [ph], we keep things simple, we maintain a lead management structure and we're based in South Wales. One particularly important component is our low acquisition cost. Acquisition costs are significant. In the first half of 2015, our acquisition cost were over 40% costs excluding levies. Our acquisition strategy of fully embracing price comparison and maintaining a strong discipline on all other marketing spend is important to this. However another key factor that drives acquisition cost is how long our customers stay. So, let's consider that. On this slide, where I referred to persistency I'm talking about the proportion of customers who stay with us for the full term and then stay to start a new policy at renewal. On the left of this slide is a bar chart which illustrates that lower premium customers are more likely to stay then higher premium ones, this is based on our own information and we split it to look at a lower band, that’s broadly consistent with the market average premium and a higher band that's broadly consistent with our average premium. Based on this you might expect us to have lower persistency, but the graph on the right illustrates this is not the case, Admiral has a better persistency than the market. You can see the trend on this graph is showing that for the market as a whole there has been increases in persistency in the year. This is a continuation of a trend that we've seen for a couple of years, probably due to where we are in the cycle. It's an area we've been very focused on and we're pleased to have increased our advantage. So, why do our customers stay with us? Well with car insurance, it's always important to remain competitive on price, however another very important factor is the level of service, we give our customers. We want to give fantastic service every time. Key here is our people, our frontline staff, they're the ones who look after our customers. This is where our culture is key, the way we nurture and empower people, the ownership of the business from the stock shares schemes, this plays a vital role on a day-to-day basis. This slide shows, we're getting more real time customer feedback which is both motivational for our people and also helps us better understand the customer experience. Overall our customers are very happy to the service we provide, both from the claims team when in their hour of need, but also at other touch points, at new business mid-term or at renewal. Unfortunately, the feedback isn't always positive, though painful the negative feedback can be most helpful. We use it to improve the customer experience going forward. The output of which is demonstrated by the chart at the bottom, showing our decreasing complains overtime. So, that's in from me, back to Henry for the wrap up.
Henry Engelhardt: Thanks, Alistair. This slide serves to point out that, once again we're placed very highly in competitions that measure the quality of the workplace and culture. We have a simple philosophy at Admiral, if people like what they do, they'll do it better. And so we go out of our way to make all our offices great places to work. We believe that this gives us a better result across time and we believe that our result over the last two decades plus confirm this. As you can see from the numbers, and you've heard from our speakers, this is another successful half year for Admiral Group. Most of our operations are growing and we are especially proud of the profitable results that ConTe produced in 2012 in its only fourth year of operations. It's now time to open it up to your questions, thank you.
Q - Ravi Tanna: Thanks very much, it's Ravi Tanna from Goldman Sachs. I've got three questions, please. The first one was just on the reserving position. I was just wondering the fact that you've strengthened the reserve margin buffer, does that inform at all or does that -- potentially leads to changes in the reserving policy going forward and your considerations around where you book relative to ultimate going forward? Some of your peers have started booking closer to ultimate and I was just wondering if that's something you would consider? The second question is on distribution. Again, one of your peers referenced the fact that new business sales via price comparison websites have flattened out for the first time and I was wondering what your observations on that are and what your expectations are around that channel. Do you see that as a blip? Or is there a specific driver? Or is it more of a sustainable trend in your view? And then just the third one was around pricing increases on your book. You talked about putting through 10% increases on new business but that you've seen a mixed shift. I was wondering if you could perhaps elaborate and give us the other piece of the jigsaw in terms of pricing changes on renewals business and hence the overall changes to average premiums, please.
Henry Engelhardt: David you take the reserve policy and the price increases and I'll touch on the price comparison question.
David Stevens : Okay on the reserving policy, every half year every year we take a view as what's the right level of prudence to put into our margin. One of the variables, but only one that informs that decision is the volatility of the ultimate loss ratios. So in a period when we've had two six months actually of quite substantial movement in the ultimate, fortunately in both cases down, but that’s still volatility, to our mind that makes sense to be more cautious about the margin in that context. Were we to see less volatility in the movements of the ultimate then we might take a different view on margin. On price mix, sorry I was -- maybe I'm clear, the 10% was an average across new business and renewals.
Henry Engelhardt: The price comparison sites dominate new business now. All the low and actually medium hanging fruit has been taken. So any future gains and share gains for price comparison site is going to come from the people who are most resistant to it. But also the point in the cycle where price aren’t going up doesn’t lend itself to price comparison businesses growing. If we see some more increases in the market I think you will some more growth on a price comparison.
Dhruv Gahlaut: Dhruv Gahlaut, HSBC. Three questions I have. Firstly, in terms of investment income, you've accrued almost 13 million at the half-year stage. At what -- as in how much would the loss ratio need to come down for that to flow through the P&L? Secondly, in terms of the reinsurance agreements which are coming up for 2016, when do we hear on that, if you could talk a bit more? Thirdly, in terms of the compare.com, you've got a tie-up with Google in California. Is that just restricted to California or does it go to other -- is it for other states as well? 
Henry Engelhardt: Let me touch on the last one, and then Geraint you can take the other two questions. Google has expanded, they're now doing Texas and nothing else at the moment, they're threatening to do Illinois, I think, but slower allowed for them. We don’t know whether they’ll cover all 50 states or just pick off a few or one, but they're now in two.
Dhruv Gahlaut: And in -- as the new [indiscernible] every state they go in terms of us and if they’re expanding to a third state, the tie-up --? 
Henry Engelhardt: That’s correct.
Geraint Jones: On the other two questions, the first one was the investment income accrual that we’re making on the funds withheld and the insurance rearrangements for 2014 underwrite year in particular. What has happen there for that £13 million to be released. Is it -- sufficiently strong improvement in the 2014 projected ultimate. So that income could be release to the P&L. These 2014 projection has to come down a couple of more points for that to be the case, it was not guarantee to be the case. So basically it has to improve a couple of points. The next question was on the reinsurance. We are currently in the process of speaking to our reinsurers on the panel, and good discussions are going as they'd expect and in March 2016 to be reporting what we'd be doing to 2017 and beyond. 
Dhruv Gahlaut: And could you actually make them more than as a -- normally these -- the 35% of the book, it's a two-year or three-year contract. Could you actually make them similar to the Munich Re contract, i.e. it goes more longer term? Is that something which you're looking at as well? 
Geraint Jones: Yeah, we talked to the reinsurers about different lengths of contract, it all comes down to an internal decision about the economics of the contract on offer and term is one factor and margin is another factor along with the other terms and conditions. Pertains to be the case of the best terms for us and for the reinsurer tend to be on shorter term quarter share contract. And that’s why I suspected the renewals we look similar to the expiring deals.
Andy Hughes : Thanks so much Andy Hughes from Macquarie. Three question if I could, the first one is on the best estimate loss ratios and on Slide 47, the second. And basically there was obviously a big move in the half year. Could you give us any more information about what changed in six months that’s triggered such a big move in those best estimate loss ratios? I know you said large claims have gone up positively, but it does seem like a very big move. And in terms of the PRA looking at what add-on you should have for this business given the volatility in the best estimate loss ratios, obviously the best estimate loss ratio means that the reserving for last two years have dropped by 150 million or something. Doesn’t that mean you could end up with a very big add-on because the business is extremely volatile? And the final question on the trend you’ve mentioned to the teenage drivers taking out telematics and won't that follow into older ages as they get older and won’t you see, we have to retreat from the old ages as these people get older. So if you took out a telematics box when they're 17, when they go to 21 they’re going to starting giving up. And so is just your gradual progression summary too as price rises come through. Thank you. 
David Stevens : I will take telematics and you do capital. Okay so, essentially, what we saw in the first six months, with what we saw in 2013 and particularly in calendar year 2014 is we saw an unusually large number of large bodily injury cases reserved and it's very difficult to do actuarial extrapolations on very early on large bodily injury, we than saw in the first six months of 2015 as more information was gathered on those claims that they turned out collectively to be materially better than we had initially thought. I think when you talk about the volatility of our ultimate's, I think it's only fair to recognize that we actually share with our investors our projected ultimate loss ratios which aren’t necessarily shared by all insurers and it may well be that other insurers have more volatility in their underline product ultimate's than is clear from their reported numbers. On the telematics front, the current constraint is in terms of which segments of the market telematics works for, it is all around the cost of delivery which still is substantial and mean that it's not really economic to deliver a telematics solution to a large proportion of the older market. But that may will change of a time. I think you used the word retreat, and necessity of retreating? Did I hear that right? 
Andy Hughes : [Indiscernible].
David Stevens : Okay, I didn’t quite understand that word, but generally I think telematics will remain a high premium niche until technology matures. 
Unidentified Company Representative: [indiscernible] U.S. stock means that it was relevant? I'm not sure we would consider our reserves based on what we know to be particularly move volatile in the -- in our peer group. It’s probably fair to point out our volatility tends on average to be in the positive side, if I don’t think hurts. I think it's fair to say that they as the results really talked about the two main parts for the add-on, the first is the recognition of profit commission risk, obviously our economic capital includes a big amount of capital in relation to profit commission income and the standard formula doesn't deal with profit commission income at all, so big part of the add-on is profit commission risk and the other part is PPO risk, so we believe that the standard formula underestimates the risks arising from PPO claims. I’d expect that to be a consistent feature with our comparatives and peers. But I wouldn’t say that's the volatility of the improvements we saw in the six months would lead to a particularly higher reserve charge than our peer don’t expect to see, or the rest of the market would see. 
Greig Paterson : Greig Paterson with KBW. Can you give me the base rate change from over the half year just so that I can put that in my model, you usually provide that. Second thing is I wonder if you could give us a feel on a written basis, what you think the year-on-year inflation rate will be in aggregate and give us some color as you probably in the past you’ve gone, when you’re going through the damage loss for frequency, et cetera. and then the third thing is, I was wondering -- I’ve noticed you've done another accounting change around your profit commission I wonder if you can just explain that in a little bit more detail how works of accounts or possibly send us some kind of spread sheet to explain what's happen there because it previously it was material if I remember, change.
Henry Engelhardt: Dave you want to take the first two and Geraint last one. Base rate and inflation rate.
David Stevens : Yes okay. All I would say on the base rate is what we’ve said, what it said we’re up 10% by the end of the first half versus where were we when we started increasing which was quarter two and it's been spread roughly proportionally across that period as changes. In terms of projecting claims 
Greig Paterson : That's not the base rate because when you’re new business makes a fix that materially what was the base rate that changed over the first half? You usually provide that from end of December to the end of June.
David Stevens : Let's have that conservation offline because I think I just answered that question by saying in the sense what we're saying is the base rates have gone up by as the equivalent of 10% since quarter two last year and it’s being roughly proportionally across that period, but I'm happy if there is some different understanding of base rates, we’ll have a further conversation. In terms of projecting the claims situation I think what you can see in the public domain is the API frequency numbers plus 3% in quarter one, I don’t think quarter two is out yet. You can see in the public domain, the portal numbers which are incredibly volatile so July is just coming out and it's 11% up year-on-year but June was a much different numbers. So what you’re seeing I think what we would say on that is bodily injury of frequency, whiplash frequency is sort of return to roughly where it was before the reforms, but it's not transparent from the portal and on long term bodily large injury, I just think you’ve just take a long term view that it was roughly 3% or 4% above of the and eye, but there are factors that change that and eventually as I don’t see anything in particular in this calendar year, that's likely to change that, but you never know. 
Greig Paterson : What's the aggregate across the book would you think year-on-year?
David Stevens : You’ve got your own models, plug it in and come up with a conclusion.
Greig Paterson: But didn’t people say that damage has also started to increase now, the damage is third of your plans?
David Stevens: I think damage has in the last few years increased roughly in line with inflation and I don't see in our own book any huge evidence that on repairs of own damage we're seeing anything very different from that. I think you should see some inflationary factors on third party, where that's I think inflating a bit more than own damage.
Geraint Jones: So the final question was on the changes in the profit commissions and the vehicle commission. So, A couple of years ago we made a change where we started charging our co- and reinsurers and a fixed per vehicle commission that we called reinsurer vehicle commission, that appears in the reinsurance economics, so when the reinsurer works out the combined ratio they experience on our account, that charges part of that results, and so it impacts the level of profit commission we get, the change we've made this year is to start backing that out, it makes the simple situation much simpler and it ultimately means that the reinsurer’s combined ratio is reduced by the level of that charge and so we get more profit commission.
Alan Devlin: Hello, Alan Devlin from Barclays. A couple of questions, just reforms on Solvency II, you seemed quite relaxed in Solvency II at the full year results, is there anything significantly changed? And secondly, would you expect the internal model to give you benefit versus the standard model plus the add-on's? And just secondly on pricing as well, was there any material difference in the pricing between new business and the renewal book? I think you mentioned that you're focusing more -- increased focus on retentions? And then just finally on any change in the relationship with Munich Re, I see their appointed director is standing down from the Board. Thanks.
Geraint Jones: On Solvency II, I wouldn't say that my level of relaxation has particularly changed since the full year. I think the process has become clear in terms of how the add-on gets confirmed and what the timeline is for that, given we're getting pretty close to Solvency II implementation you'd expect some clarity on that and we now have a good idea that'll be October, November time. I don't think our view on the potential outcome of that has particularly changed in the past few months. It's still uncertain, hence I'd love to give you the full detailed situation, but we are where we are at this point in time. In terms of other, an internal model can give capital requirement benefits against the standard formula plus the add-on's. There is a bit of work to be done before we get to that outcome, I don’t expect it to be a very material difference between our internally modeled capital requirement and the added on to SCR under the standard formula, there is a couple of years before we get there.
David Stevens: And on renewal, new business pricing, there's a number of differences between renewals pricing in new business. Points of information that we have about our existing customers we don't have about our new business customers and some of the variables are differentially predictive at renewal and new business and that is -- that means, we don't have necessarily the same rates at new business and renewals. That's been the case for number of years, it hasn't really changed materially over the last 12 months.
Geraint Jones: And the relationship with Munich Re continues to be strong, we're very close to them. Not only are they our biggest reinsurance partner, but they are pretty big shareholder as well, so we're getting know Manfred's successor and relationship seems to be every bit strong as it always has been.
Simon Denison-Smith: Simon Denison-Smith from Metropolis Capital. I've couple of questions on the international business, are you seeing any copycats to compare.com in the U.S. currently emerging?
Henry Engelhardt: Google is doing something similar, not exactly the same.
Simon Denison-Smith: They're in partnership with you?
Henry Engelhardt: And others, we're not their only partner and they're doing in on their own as well, so that's a bit of a difference that they're bringing in a number of different sources to fuel their quote engine. No, I’d say nobody else, I mean a few people looking at what we're doing, maybe doing similar things, but nobody really going out as a consumer brand with European style price comparison which is quote to bind on page.
Simon Denison-Smith: And in Spain and Italy, where are we in terms of the percentage of quotes that are being -- the percentage of insurance that’s been written through the price comparison and what are your market shares in those markets?
Henry Engelhardt: Cristina, do you want to talk to Spain?
Cristina Nestares: Yes, so the aggregator market deals with about 15% of the new business and our share -- you have the numbers with you, you can see it, but it's quite significant compared to other overall market share that we have in that market.
Henry Engelhardt: Our CEO from our Italian business was here but she had to go to catch a flight. In Italy it's a bigger in terms of new business.
Cristina Nestares: Yes, because it’s has been -- the share of the aggregator market in Italy has grown significantly in the past few years, so I'll say it's about 20% -- going up there.
Henry Engelhardt: And our share is again bigger than our market share, as our share of price comparison business in that market.
Simon Denison-Smith: Can you give us any figures on it?
Henry Engelhardt: I can't off hand.
Cristina Nestares: But also we don't have them because we don't know how many sales exactly are dealt through price comparison. It's based on a public figure.
Henry Engelhardt: And in Italy, we don't have a price comparison site and in Spain we do, we've got a lot more knowledge about price comparison in Spain than we do in Italy.
Fahad Changazi: Good morning, it's Fahad Changazi from Nomura. Just a question on Spain and the new Baremo. There's some really significant numbers being talked about in the claims increases and what is your expectations of general claimed loss cost. How it will develop, do you see disruption in the market in 2016, how long will it take to settle, if any?
Cristina Nestares: So we expect our MO to be approved for January, 2016. There are many numbers in the market -- many figures, the one that we work with is in the north of 5% overall increasing claims cost, so not just [indiscernible] but the overall claims increase. We expect this to have a significant impact on the market and to be disruption. As I was talking, this is a market that has enjoyed almost 14 years of combine ratios in lower hundred. So prices have not really gone up in all this period and therefore this is a momentum that we expect companies are going to start to increasing their prices. Also the market has shrink by 20% in seven years. So there is lot of pain in terms of expense ratio.
Andrew Crean : Andrew Crean from Autonomous. Three questions if I can, firstly, if the Ogden rates are brought down what would be the impact on the business? Secondly, you obviously going to spend more in compare now, could you give us some sense as to the investment which you’re going to be making in 2016? And whether you consider taking your share down, getting a third party in? And then thirdly, in the UK there is some quite interesting ABI statics out about the loss ratios on different ages of drivers, it's not a survey I think you contribute it to. But what it showed was that the younger drivers are much more profitable, but the loss ratios were deteriorating overtime. And I was just wondering whether in the light of that that’s your type of experience, whether you’re increasing rates to a greater rate than the market is a function of the fact that you’ve got more younger drivers where there is loss ratio deterioration.
Henry Engelhardt: David you want to take Ogden, that name I haven’t heard in a while. And the ABI, I'll talk to the compare now.
David Stevens : Yes Ogden is under further review as it has been for long time. But it's a bit reminiscent to Baremo, or at some point someone will do something about it. After years of it being imminent, it will actually happen at some point. I think it depends on what the shift is in terms of what the discount rate becomes. But if it's a reasonably small reduction in the implied discount rate on Ogden then it's probably sort of the net neutral because it will encourage fewer people to use PPO, which are relatively very expensive. Obviously, if it's a substantial -- very substantial discount reduction on Ogden then it will have a much more material impact and it will impact all the open claims or the larger complains to the future loss attached to them.
Andrew Crean : How would you define substantial versus modest reason?
David Stevens : Well I think if you look at the -- most people when they are reserving PPO would reserve them with a discount rate of zero or minus half or minus one. It would be a very, very expensive for the market if anyone was to contemplate Ogden coming down toward those low numbers. If it came down a bit to tow or one and a half or something like that, then you’d get displacement of people into lump sum away from PPO, which is a positive outcome. I'm not sure if that’s helpful. But the young driver -- when our books change we have no philosophical commitments to a certain part of the market, we move business to where we see the profit opportunity and we've been -- I think we stood up the last three or four times and talked about mix changes and our book moving towards lower premium. And we've talked about that just being driven both our own changes and competitors seeking to reenter some of those segment. I think I would say that what that is, is us responding to those changing relative profitability's in the market and that’s not just a six months thing, it’s being going on overtime. So I would not totally describe the increase we’ve put in the last 12 months as a response to an adverse impact on the younger drivers. 
Henry Engelhardt: And the compare now budgets won’t be done for 2016 until towards the end of this year. We wait as long as we possibly can to our budgeting so that we have the most information we can use in terms of trying to understand what we're going to do in the future. So we don’t have any guidance at this point time in time on 2016. 
Andrew Crean : And you’ve [indiscernible] yourselves especially?
Henry Engelhardt: And we've got partners in already, in compare now. We’re not a 100% on compare now.
David Bracewell: David Bracewell from Redburn, two questions one on the price comparison in UK. Confused it’s taking a bit of a hit this half year in terms of margin and profit. But when I look at the number one player out there it doesn’t seem to be -- it results doesn’t seem to be impacted by the current conditions and one of your peers has come out recently said they’re going to be doubling their EBIT in the next five years. So I was just wondering what your view is on the price comparison business in the future in the UK. And second question is on Spain, you talked about the Baremo coming in and that's going to upset the market and prices are going to rise and therefore you’re going to look to undercut the market. It’s reemission of what we did in U.K. a number of years ago, where you doubled the market share by undercutting the market, but it does sound like there is a lot of uncertainty attached to the claim cost increases that are going to be in Spain and therefore I just wonder how confident you are that you can undercut the market and actually continue to write profitable and decent business in Spain.
Henry Engelhardt: Christine you want to take the Spain's question?
Cristina Nestares: Yes. The good thing about the Baremo is that there is no uncertainty. We know exactly more or less how everything costs. So when I look at the Italian market or the U.K. market the loss ratio has a very long tail and now in case of Spain the tail is extremely short, so even though that Baremo increases, there is very little uncertainty. That the only part of uncertainty is that it is not clear if the judge is going to apply the Baremo with respective to certain open claims, but in our case it's not a big problem because we have very few large client. So maybe for other companies that are bigger there is a higher degree of uncertainty, we’re talking about less than five times when it comes to this recent certainty, so the Baremo for us is positive even though is going to increase claims cost because what we need to stimulate in the Spain is shopping. Since we launched in the Spain nine years ago the direct market hasn’t grown that much, and aggregators have grown but not anything similar to the U.K. is still only 15% of the new business is done through aggregators. So what we want to have is a platform where we can expose our rate, the bigger -- the more people that can see our rate the more chances we have to grow and that's why Baremo enough though is going to increase claims cost has such a positive impact for us.
Henry Engelhardt: The Confused question. Yes, Confused is finding it tough going and -- but I could stand here and say were going to double our EBITDA in five years as well, that doesn’t mean we're going to double our EBITDA in five years, I certainly hope true. We are branching out, we've recently launched something called Carfused. Carfused basically gives you a chance to buy a car to go in and look at a variety of cars in your area or other parts of the country it couples that with the cost of the insurance and if you want the cost of the credit, so you can understand what is the total cost of the purchase of any car that you might choose to buy and there are very few companies doing that -- nobody is doing that composite promotion of giving you all the costs and have a brand name as well that we already have. So that's a very interesting development, it's live now, you can go in and test it, but it's a kind of a beta site at the moment. So were still working on that. So were always looking for new ways to expand Confused and to take the business forward. Right now it's just in a tough half year.
Janet Demir: Hi. Janet Demir from Morgan Stanley. I'm just curious whether you experience any different in your whiplash claims on post the Medco reforms?
Henry Engelhardt: The reforms only came in a few months ago and it's too early to identify any clear differences.
Andy Hughes: Hi. Andy Hughes, Macquarie. Follow up question on the earnings outlook for H2. And so I go back to the slide that said, to get the same level of reserve releases in H2 we need the same drop in our best estimate lost ratios and given that it was a record drop investors loss ratios and the underwriting in H1 sounds like it was pretty good because you are talking about lower level of large claims in H1. You basically in simple terms saying that earnings are going to be a lot lower end in H2 and if not, why not? Thank you.
Henry Engelhardt: I'll just do one point in the clarification and then may Geraint will answer the question. I didn’t say has to be the same, I had said it, yes it has to be a large reduction in ultimate's for the reserve leases [Indiscernible].
Andy Hughes: Well, I think a couple of points of more than slightly and more than somewhat.
Henry Engelhardt: It just tends to be case on average in a six months period that are projected estimates will move down slightly I was going to say slightly. This six month period was exceptional it was a very significant improvements in a projected ultimate's. I think it would be -- I think it's unlike that you see that improvement gain in the second half of the year so I think it's unlikely we would see a 29% reserve release in the second half of the year. David made the comment that the level of profitability i.e. the book loss ratios on the business we’re running in 2015 are likely to improve in the second half of the year as the impact of the rate -- the base rate increases feeds through into that end result. So there is a chance of those two things offsetting each other, i.e. lower second half reserve releases better current year earned profitability. We don’t give you earnings outlook as you know. There is also so as one more point. The size of the margin currently is based on the uncertainty and the volatility we’ve seen in the best estimates over the past year or so is at the outer edge of our reserving policy. So we are currently extremely cautiously reserved and I think it's unlikely if we see more stability in those projected loss ratios that we’d want to remain at that level of conservatism. 
Dhruv Gahlaut: Hi Dhruv Gahlaut. Just a follow up. Actually, a couple of them. Firstly, in terms of the home business, you've made a small profit helped by the weather. As in how do you see this developing in the second half in terms of what the aspirations are? Secondly, in terms of the investment last year, I think you talked about Guidewire, as in you were implementing Guidewire in the organization. Is it just to the part of the business or is it going to be across the business, i.e. claims, pricing, et cetera. and where exactly are you with that and thirdly, at the management change I think you said as in on the idea was that you would be sticking with the business after 12 months, as in could you say a bit more in terms of what functions, et cetera?
Henry Engelhardt: Well, the home business in particular, why we chose a windowless room, so you couldn't see the weather pattern outside while we gave the presentation, but more specifically.
Geraint Jones: I mean home made 0.6 million, it's not going to be a big deal either way in the second half unless there's some catastrophic weather event, in which case it might be a bigger deal and what was the next question?
Dhruv Gahlaut: Guidewire?
Geraint Jones: Yes, Guidewire is being implemented, we're expecting it to be implemented over the course of 2016, it replaces the system that we started with in 1993. In terms of administration and accounting and payment collection, we have our proprietary claim system, and at this point it's not replacing that.
Henry Engelhardt: And my role to be determined, but I'll be sticking with the business in some way, shape and form but not certain exactly what yet.